Operator: Good morning, ladies and gentlemen; and welcome to the Third Quarter 2013 Conference Call. Today’s call will be hosted by Mr. Brian Hedges, President and Chief Executive Officer; Ms. Marion Britton, Executive Vice President and Chief Financial Officer; and John Reid, Executive Vice President and Chief Operating Officer of Russel Metals Inc. Today’s presentation will be followed by a question-and-answer period. (Operator Instructions). I will now turn the meeting over to Ms. Marion Britton. Please go ahead.
Marion E. Britton: Good morning, everyone. I’m going to start with my normal read of the cautionary statement. Statements contained in this conference call that relate to Russel Metals beliefs or expectations as to certain future events are not statements of historical facts and are forward-looking statements. Russel Metals cautions readers that there are important factors, risks and uncertainties, including but not limited to, economic competitive and governmental factors affecting Russel Metals’ operations, markets, products, services and prices that could cause its actual results, performance or achievements to be materially different from those forecasted or anticipated in such forward-looking statements. The forward-looking statements in this document reflects Management’s current beliefs and are based on information currently available to Management. The material assumptions applied in making the forward-looking statements in this document includes the following. Demand from the manufacturing resource and construction segments of the Canadian economy remains at current levels and these conditions will continue in the foreseeable future; and oil and gas prices; the price of steel, the value of the Canadian dollar relative to the U.S. dollar will be stable and at similar levels to what we experienced at the end of the third quarter. Although the forward-looking statements contained in this document are based upon what management believe to be reasonable estimates and assumptions, Russel Metals cannot ensure that actual results will not be materially different from those expressed or implied in those forward-looking statements and Russel Metals do not intend to update any forward-looking statements other than required by law. So, flipping now to Page 5, of the conference call slide deck, talking about the current conditions as of November 2013 we are see economic uncertainty that continue. This has been going on for approximately the last year. The MSCI industry shipments for Canada were down 3% and for the U.S. were up 5%. In case of Russel service centers in Canada we were up 3% which is a 6% difference from the number produce by the MSCI and up 14% in the U.S. Our current pricing is stable and in the energy sector the drilling activity is lower than last year although we do expect some improvements in the fourth quarter and first quarter of 2014 as season normally the busier seasons and there have been some announcements that would indicate activity will go on during this period. Looking forward Page 6. Our highlight for the quarter, our earnings were $18.9 million EPS of $0.31 earning compared to $22 million of $0.37 in the same quarter last year and our second quarter earnings of $0.33 of EPS. I think at this point in time I will just speak briefly and there is few comments later on about three items that were in our documents and as somebody out there has already said, bit of a messy quarter because of these three items. First of all, these are non-cash charges so we took a non-metals – non-cash charge of $5.2 million pre-tax related to our Thunder Bay Terminal operations, this is the one operation that has we retained out of the odd history of the company. The volumes that were going through that operation have come down compared to prior years and we need to reassess the value of the assets there and took a $5.2 million hit which is equivalent of $0.06 here in this quarter. The other item that we made an adjustment on is finance income. This is the $4 million per-tax and it’s actually similar number after-tax for our earned out on the contingent consideration for Apex. Certain assumptions were made in this year including an acquisition that hasn’t got completed although we do believe it will get completed related to that operation and on a fair value adjustment, which we required to do quarterly I look at the fair value. We have reduced our liability, related to that contingent liability by $4 million which equates to $4 million of income or $0.07 of EPS. The third item relates to inventory reserves and losses taking in our energy operations, we’ve been looking at certain products that we have and slow moving and there are reasons for being slow moving has to do with, not being used in current activity with customers drilling activity, gas being low we need vertical activities to go on for certain of that price and have taken. Reserve of $6 million relates to the slow moving inventories as well as in the quarter we did sell some inventory, which we took a lot in the process $2 million on the inventory sold. So the some of those two items is actually $0.09 in our EPS, so if you depending on what you add back, but I think our EPS from operations were around $0.39. Going down that slide 0.2, note the nine months ended, we’re at a EPS of $1 versus last year we were at a $1.29. At this point free cash flow is a $1.20 compared to the $1 EPS first the nine months ended September. Return on equity 9% still a reasonably good number. Cash and cash equivalents, we have net cash of $125 million, also in the quarter we did do two small acquisitions, which relates to 4 additional stores we now own in our Apex distribution operations, some of that acquisition was a $11 million, because I mentioned was too small acquisitions. Turing forward to Page 7, we’ve provided you with our normal highlights comparison September 2012 to September 2013. This remind people that September 2012, we didn’t own Apex at that point in time, so both similar numbers there our inventory has gone up from that period. But if you look back to our December 2012 number on the – I’m looking at balance sheet in particular inventory has gone down, AR is similar. So considering you can’t – in fact another balance sheet number just don’t make sense for September 2012 number just want to point that out this is the large acquisitions. Moving forward to the next page, Page 8 which is our consolidated statement of earnings wanted to draw your attention to the line items of the item I had mentioned you’ll see the asset impairment of 5.2 under earnings before interest finance expense taxes but then the second item is you’ll find the contingent consideration adjustment in our other finance expense income. You’ll note that I had mentioned that was $4 million and this number for the quarter is 2.8 because that is net of the interest accretion that we had been taking throughout the year was 1.5 last quarter and 1.6 before. So our year-to-date adjustment related to the financier expense of Apex acquisition is 0.3 so it’s a very small number at this point. And if you go to Page 10. You’ll see on this page our inventory produced 1.7 million year-to-date as we do have lower inventories and we’ll look at that slide later in the MD&A as to what units were the inventory has come down. We’ve been looking at trying to keep our inventory inline with current demand, which means reducing in inventory level. The cash from operations was $20 million in the quarter and $100 million year-to-date. And you can see we actually increased cash by $24 million related to cash and cash equivalents related to that. Moving forward to Page 13, which is MD&A slide. You’ll note the revenues in the quarter for service centers and distributors were both down slightly 4% and 6% just addressing the metal service center and there actually the details are on the next page. But the tons were actually up as I mentioned there and on the consolidated basis and unshipped were actually up 6% when I consolidate U.S. and Canada ton, but the selling price was down 7% year-over-year which has resulted in a 4% decline in our revenue line. Similarly, steel distributors their operation they do have some tonnage down and some selling price down due to the fact that hesitancy on pricing and less needs in the service so their revenues are down slightly from last year. The largest increase being or the increasing being our energy which is up 42% and I’ll address the breakdown on when we get to the next page. The other item I wanted to point out was out metal service center gross margin was 20.7 it’s up from the 20.4 that we had in the second quarter increase in gross margin percent has to be with stable prices throughout and so we are getting more normalized with no ups and down in pricing there. Energy product is down slightly 15.9%from last quarter due to the fact that the inventory write downs are in that number. Moving forward to Page 16 for the quarter, I’ll bring your attention just to the first paragraph where the split out Apex was majority of our increased but we did have 10% increase in our same-store basis operations revenue from energy sector that has to deal with additional drilling activity in the Canadian drilling operations in Western Canada offset slightly from U.S. lime type lower numbers. On a year-to-date basis our same store is approximately 1% on a revenue basis so we’re somewhat equivalent on excluding Apex’s additional revenue. Now just bring your attention forward Page 20 which is were we outline some of our inventory numbers as we said we are focusing on keeping our inventories right levels according to our current demand and also the fact that availability is out in the North American markets so we don’t need to we can get shipments in relatively short-time. So metal service centers compared to this point last year to $286 million and $247 million in the quarter we come down $255 million to $247 million similarly energy we have taken of $7 million in the quarter and if you remember at the end of the June we were little bit slow so we had some stuff that – activity that didn’t happen in the end of that quarter so we are getting ready to go into our busier season there and so distributors inventory is also down from June numbers. And obviously this has helped our returns because of these changes. And that the focus we have going on. Those are my comments on the quarter. I’m going turn it back for question. Operator?
Operator: Thank you. Your first question comes from David Galison from CIBC. Okay, please go ahead.
David Galison – CIBC World Markets: David Galison from CIBC. Good morning everyone just had a – first question just on the inventory adjustment. The product that was adjusted that was slow moving what portion of your inventory in energy segment remains that type of product.
Marion E. Britton: We don’t have an actual numbers for it but I mean it would be may be 10%, we do believe that there is other product as we continue to sell that we are going have to look at what how we are going to get rid of it, we are looking at aging and all our units. We have some in the line pipe area in the U.S and some in our drilling vertical drilling products in Calgary, but it doesn’t apply to Comco Apex operations.
David Galison – CIBC World Markets: Okay and then just on the acquisitions the potential upcoming acquisition. Are you are going to be focused in the U.S. and you talked about expanding grow the Apex operation in the U.S.
Brian R. Hedges: No, that acquisition when we identified what we did Apex original and its Alberta we are doing Greenfield in the U.S. the price of acquisition down there were prohibitive so we have actually Greenfield two our locations in Lamington in the wet gas plays down there so that’s how we’ve gone out on the – but the one we are going to do in the fourth quarter will be in Canada.
David Galison – CIBC World Markets: And should we expect that to be similar margins to the Apex business?
Marion Eleanor Britton: Yes similar margins approximately $50 million in the revenue.
David Galison – CIBC World Markets: All right, thank you very much.
Operator: Thank you. Your next question comes from Otto Cheung from JMP Securities. Please go ahead.
Otto Cheung – JMP Securities LLC: Thank you. I guess just one follow-up question with respect to the Q4 acquisition. Is there anything holding – what’s holding up the acquisition right now? It is just negotiation, pricing? Anything you can comment on.
Brian R. Hedges: Lawyers.
Otto Cheung – JMP Securities LLC: And then you gave some good approximation in terms of revenue. So just to clarify, CAD50 million, so similar to Apex?
Marion Eleanor Britton: Yes, some months ago.
Otto Cheung – JMP Securities LLC: Okay. And same with – should we expect something in the line of similar cost, too?
Unidentified Company Representative: Yes our margins and similar cost, so it’s a store. And so, it will have similar profile to Apex numbers.
Otto Cheung – JMP Securities LLC: Sorry…
Brian R. Hedges: Our purchase multiple will be similar?
Marion Eleanor Britton: Yes.
Brian R. Hedges: And we think it’s accretive probably about $0.07.
Otto Cheung – JMP Securities LLC: Okay. And would you be able – and would this just be one location or would it be like doubling of the locations?
Brian R. Hedges: No, it’s one physical location, one very big location.
Otto Cheung – JMP Securities LLC: Okay. That’s helpful. And actually that’s all I have for now. Thank you.
Operator: Thank you. Your next question is from Bert Powell from BMO Capital Markets. Bert, please go ahead.
Bert Powell – BMO Capital Markets: Thanks. Hello, Brian. Hello, Marion. Just in the U.S., you’re pretty good tons growth. I’m wondering if you can just give us a sense of, is that market share and market demand? And if you could, just provide us just what you’re seeing in terms of non-residential in the U.S.? That would be interesting.
John G. Reid: Bert, this is John. We picked up in various market segments. We picked up share and through the south and in the north, so we’re seeing inspiring where there has been opportunities either competitive falling back that we’ve seen some opportunistic things happened as far as non-res, still very, very much just a slow grind forward. We’re not seeing a huge impact at all in non-residential construction. You’ll see pockets that are busy or you’ll see a segment that has and work with but nothing that’s sustainable long-term that shows that have taken back as an industry as a whole right now.
Bert Powell – BMO Capital Markets: So the opportunities that presented themselves this quarter, there’s nothing sustainable in those, either? It was just you were capitalizing on those, or those continue to present themselves?
John G. Reid: No, we think that will continue to present themselves. Again, we’ve had some where we’ve taken some market share competitors for various reasons. We get some competitors pull out of the markets. And then we’ve had some others that we went into where did not participate before, but its similar products. We do have some new equipment in the U.S. that we’ve taken some market share with us as well.
Bert Powell – BMO Capital Markets: So it’s the capabilities that’s enabled you to do that.
John G. Reid: Yes.
Bert Powell – BMO Capital Markets: Okay. Perfect. And then in the energy sector, seasonally we’re going to head into the strong part of the year for you guys. When you look at the drivers for that business, do you expect that the seasonality will – the results will be stronger this year, based on the fundamentals, you’re notwithstanding the seasonality of that business?
John G. Reid: There is two things. Obviously, the Canadian rig count has jumped and it’s actually ahead of last year where it hasn’t been prior to this year. Plus our field, our field guys are seeing increased activities from the juniors and the intermediates. So there is a bit of pent-up demand I think from the Western, we are seeing more activity, more growth. So they are fairly positive we are talking fourth quarter, first quarter. It’ll breakup.
Bert Powell – BMO Capital Markets: Okay, okay. Fair enough. And then, just lastly on the distribution business. I mean there was a number of factors you highlighted driving that business, short lead times, decrease demand and trade actions, can you just give us a sense of which is the biggest factor in terms of driving that business, its profitability and revenue? If I had to wait one of those things which – or they all kind of equal?
Marion Eleanor Britton: Sorry. Availability in the North American market so therefore customers don’t have to speculate on the price. They can take more certainty in purchasing in the North American market. So that would impact our volumes. Sometimes is a positive for us because are very aware, we are knowledgeable what’s going on in that area and typically when we think there are going to be issues we’ll stay away from those countries.
Bert Powell – BMO Capital Markets: Okay. Thank you
Operator: Thank you. Your next question is from Frederic Bastien from Raymond James. Please go ahead.
Frederic Bastien – Raymond James Ltd.: Hi, good morning. I just want to build on one of Brett’s questions. You’ve gained market share in the U.S. but it looks like you are also doing that in Canada. Can you provide added color there?
John G. Reid: On the Canadian service center that’s again capabilities we got two new flat-rolled process in structure leveling machines. We’ve added several new laser burning machines and so we are adding capabilities in those sectors that will allow us to take share.
Frederic Bastien – Raymond James Ltd.: Thanks for that.
Brian R. Hedges: I think there is also some impact. The imports are not coming in as aggressively as they have recently and those same region our steel distributors on bringing in imports. There is not as many imports coming in and a lot of the – some of our competitors take advantage of that, and that’s where they get their pricing advantage and they don’t have that pricing advantage as aggressively in prior years. So I think that’s the positive for us as well.
Marion Eleanor Britton: We’ve had inventory that maybe they haven’t had because of that.
Frederic Bastien – Raymond James Ltd.: I got it. Marion, Apex is performing well. You reduced projected earn out payment associated with it. Is it entirely related to that acquisition?
Marion Eleanor Britton: The numbers at Apex are slightly softer than it were in the forecast for the earn out, but we had also anticipated closing that acquisition in March. So we don’t anticipate closing it much have many earnings this year in that and when we did the calculation at September we knew approximately when it was going to close. So has more as much more to do with the acquisition.
Frederic Bastien – Raymond James Ltd.: Got it, okay.
Brian R. Hedges: They performed well versus the last quarters numbers compared to everybody in the industry. Off slightly but not dramatically at all.
Frederic Bastien – Raymond James Ltd.: Got it. So it’s just earnings that you would have add for the past six months basically?
Brian R. Hedges: Right.
Frederic Bastien – Raymond James Ltd.: Okay. This one tough one, but given the industry over capacity right now, do you see much more downside risk to your steel prices?
John G. Reid: Short-term, no. I think we are okay.
Brian R. Hedges: We’ll follow scrap and so you’re seeing some pressure there from the U.S. market right, the scraps going up. I think short-term Frederic we are not going to see much pressure.
John G. Reid: I think in oil country there’s been a little bit stability recently but I don’t think the supply side of that the Siemens coming on and the ERW coming on. There is going to be additional pressure there. I don’t think that’s going to alleviate at all in the short-term.
Frederic Bastien – Raymond James Ltd.: Okay. Thank you very much.
Operator: Thank you. Your next question is from Brett Levy from Jefferies. Brett, please go ahead.
Brett M. Levy – Jefferies LLC: Hey, guys. Clearly, there’s a pipe trade case going on in the United States. Is there something similar going on, or is it in your mind to pursue something like that in Canada? And do you see an opportunity, maybe, to get additional cheap imports as a result of kind of what’s going on in the U.S.?
Brian R. Hedges: We wouldn’t initiate it, of course. It would be the mills. I think it will get initiated in Canada by the producers. So I think we’re going to see it, but, yes, that can cause some displacement of tons and that puts pressure on those. That’s one of the reasons, I said, that I don’t we are going to see any move up in the pricing of that from the short-term.
Brett M. Levy – Jefferies LLC: And then, sort of the inverse of the previous question. I think clearly in sheet, which is not really a big area for you guys, but even now in plate, you’re starting to see some upward pricing dynamics. Is there an inclination to accumulate inventory, at this point?
Brian R. Hedges: I don’t think we want to accumulate inventory. I think our turns are – we manage risk and again you are going to see and time will tell, but that upward pressure is going to stay. The four markets will come back into play the first quarter. So I don’t see there’s been a long-term growth.
Marion E. Britton: The benefit of holding inventory is – lower price inventory can be outweighed by the benefit of holding it for any period of time and we are enjoying short lead times at this point. That’s not a game we play.
Brett M. Levy – Jefferies LLC: All right. Thanks very much, guys.
Operator: Your next question comes from Corinna Petry from American Metals Market. Corinna, please go ahead.
Corinna Petry – American Metals Market: Yes. Good morning. Corinna at AMM. I wondered if you could talk a little more about the Greenfield sites in the U.S., what you’re doing there, where are they, what is the size of the facilities, what kind of processing you’re putting in there, and what the dollar investment might be?
Brian R. Hedges: They’re West Texas for the most part. These are small stores, these are field service stores with Remington. They’re not service centers.
Corinna Petry – American Metals Market: Okay.
Brian R. Hedges: These are supply stores. So their footprint is very small.
Corinna Petry – American Metals Market: Okay. And then, I have a basic question that is probably obvious to everyone else. Why is drilling in winter better than summer or spring? Is it because the equipment can’t move in the mud in the spring? I’m not sure.
Brian R. Hedges: Yes. You’ve got to have a frozen surface to get the equipment across. Up north of Edmonton there, it’s all musky [ph]. And the road bands go on, because the trucks will sink into them.
Corinna Petry – American Metals Market: Okay, good. Okay. Thank you.
Brian R. Hedges: Now that doesn’t impact our U.S. operations.
Corinna Petry – American Metals Market: Right.
Brian R. Hedges: That’s a Canadian – Western Canada phenomenon.
Corinna Petry – American Metals Market: Okay, very good. Thank you.
Operator: (Operator Instructions)
Marion E. Britton: Okay. If there’s no more questions, we’ll end the conference call. Thank you everybody for attending and we’ll talk to you next quarter.